Operator: Good day, and welcome to the WalkMe Fourth Quarter Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. John Streppa, Head of Investor Relations. Please go ahead sir.
John Streppa: Hello, and thank you for joining our fourth quarter and full year 2021 earnings call. I’m John Streppa, Head of Investor Relations at WalkMe. And today, I’m joined by Dan Adika, CEO and Co-Founder; Rafi Sweary, President and Co-Founder; and Andrew Casey, our Chief Financial Officer. Certain statements we make today may constitute forward-looking statements and information within the meaning of Section 27A of the Securities Exchange Act of 1933, Section 21E of the Securities Exchange Act of 1934 and the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995 that relate to our current expectations and views of future events. These forward-looking statements are subject to risks, uncertainties and assumptions, some of which are beyond our control. Actual outcomes may differ materially from the information contained in the forward-looking statements as a result of a number of factors, including those set forth in the section titled Risk Factors in our prospectus filed with the Securities and Exchange Commission on June 16, 2021 and other documents filed with or furnished to the SEC. Please see our press release dated February 16, 2022 for additional information. In addition, certain metrics we will discuss today are non-GAAP metrics. The presentation of this financial information is not intended to be considered in isolation or as a substitute for or superior to the financial information prepared and presented in accordance with GAAP. We use these non-GAAP financial measures for financial and operational decision-making and as a means to evaluate period-to-period comparisons. We believe that these measures provide useful information about operating results, enhance the overall understanding of past financial performance and future prospects, and allow for greater transparency with respect to key metrics used by management in its financial and operational decision-making. Further, throughout this call, we will provide a number of key performance indicators used by our management and often used by competitors in our industry. For more information of the non-GAAP financial measures and key performance indicators including the reconciliation tables, see our press release dated February 16, 2022. With that, I’ll hand it over to Dan.
Dan Adika: Thanks, John, and thank you for joining us today, I'm extremely proud to share that we had the best quarter in WalkMe history, which was an amazing way to end an historic year for the company. With ARR approaching 220 million and continued acceleration in our subscription revenue, which was up 39% in this quarter compared to the prior year and a record quarter in our RPO and net retention. I want to take a moment and thank our amazing employees, customers and partner for an outstanding year. We've seen an amazing growth from customers who deployed WalkMe on for more applications hitting 49 DAP customers in 2021. We now have 31 customers with over 1 million in ARR and 454 customers with over 100k in ARR. Our customers are trusting us with their long-term digital goals and it's showing in our numbers. Our long-term RPO grew by 84% year-over-year, reflecting the execution of our go-to-market strategy we put in place last year. Our strong sales execution is working with a focus on land and expand motion. Our customers are embracing our platform and real business outcomes are being realized. Specifically, our customers are expanding their spending with us. customers that have 500 or more employees or dollar-based next retention increased to 125% for the fourth quarter, putting our trailing fourth quarter dollar-based retention from this quarter to 121%. Our vision for achieving better business outcomes is realized when our customers use WalkMe to create amazing user experiences including automating business processes and ensuring that they are completed correctly. This is not a siloed approach and can be applied to every business department of our customers. WalkMe customers are achieving unique business goals in every sector from ensuring compliance to ever changing regulation to driving revenue growth as business adapt to shifting priorities, change is constant, business problems are always evolving in our platform is the digital adoption solution needed to drive effective change. I would like to share with you today a great example of DAP customer is dear to my heart, one of the largest technology hardware and software manufacturer on the planet with 150,000 employees around the world. As they've grown and embraced digital transformation, automation and adoption, WalkMe has become central to their strategy and the platform they use to drive organizational and process change. That is introducing WalkMe through their sales workforce back in 2017. They quickly and continuously deployed WalkMe throughout the business from supply chain to learning and development totaling over 60 application. They reaped many benefits from million dollars in direct revenue gains, including using WalkMe content to empower reps to drive more actual opportunities to operational excellence saving millions of dollars due to accelerated onboarding time and ongoing employee productivity and efficiency. Additionally, they seen a dramatic reduction in the amount of hours saved on training 80,000 hours per year to put this in perspective, and costs associated with traditional onboarding programs and ongoing upskilling. They've built a core center of excellence equipping all business units with guidelines and processes to create WalkMe content that reduced friction and drive adoption throughout the business. And we're continuing to partner with them to deliver solutions that impact employees across the globe. This customer initially joined us with 100k ARR contract, and today is well over 4 million in ARR. This is an example of a great customer journey with WalkMe, one that I expect to deliver to every company in the world. The digital challenge for organization is complex, and WalkMe vision for adapt is the key to unlocking the real potential and value of digital transformation. The bottom-line is that market and organization are flooded with software, the purchasing power is shifted to the department trying to solve a tactical need. And the business outcome for the organization like increased revenues, improve operating margins better UX and unified productive workforce is often overlooked. Companies invest significant capital and efforts in the implementation stage of software, hiring consultants having dedicated team but fail to acknowledge the user experience. With differing digital experiences among the hybrid workforce, the need for user first approach is greater than ever. Let's zoom out for a second and think about what happens when an ISV rolls out a new product. The product manager will plan out the entire user experience, will use multiple analytic tools to ensure adoption, user retention and conversion. The same should apply to employees and internal software, organizations need to take a user first approach to software implementation to employee experience and to digital transformation. User experience and adoption are the heart of success. Our unique approach is through three key elements, data, action and experience. User experience is the goal and the pass together through data and action. Let's dive deeper starting with data. To start with a digital journey organization must unlock visibility into the tech stack and into the workflow. Specifically the steps required to complete a business process throughout the use of the software. They need to understand first what exists how people engage with software, and the degree to which workflows get completed or not. So they know exactly what action they need to take in order to fix points of friction. This takes us to action data is knowledge and with knowledge comes power, the power to take immediate action on the same platform craving a direct tie between the data and the user experience. Organizations today struggle to take immediate action and on top of their existing workflow and software they choose to reap and replace and by other software hoping for a different result. With WalkMe organizations are able to take action right on top of any application with our no-code editor leveraging our solution accelerators, with best practices from 1000s of implementation, and they can fire up automation to take repetitive tasks away so the user can focus on what most valuable work for them. Which leads us to the experience. What does experience really mean employees and customers expect a perfect experience everywhere. They just wanted to work and help to get their job done. With WalkMe organization can design and deploy a perfect unified user experience on top of any enterprise software website data action experience. With WalkMe we believe that enterprise organization now finally have what they need to help them realize the potential of their technology and therefore drive real business outcomes. And if you want to see this in action, and learn more, I'm very excited to invite all of our customers, partner, prospect investors and analyst to WalkMe Realize our annual adoption user conference this coming April 5 and 6. And we anticipate more than 2000 attendees this year, and more than 40 sessions and nearly 2000 customers presentation. Join us in the world's biggest digital adoption event. On the partner front, we love our customers and know our technologies driving meaningful change for them. As organization realized they need the solution to help with digital adoption, we're seeing a great progress from our partners continuing to invest in our ecosystem as well. Last quarter, we shared the announcement of two great partners SAP and Deloitte. These partnerships are already showing progress with a strong pipeline growth. Building on that momentum, I’m and very pleased to share today a strategic partnership with a longtime customer of ours, Accenture. This new partnership is expected to bring together the Accenture’s pursuit of driving technological change with WalkMe’s ability to drive adoption and give our shared customers the tools needed to measure and rapidly iterate under business processes to drive adoption and realize their goals of digital transformation. With this partnership, Accenture is investing and expanding their capabilities to deploy our technology on a global scale alongside investing in their employee base with plans to increase the number of certified resources over the next year. Our partnership with SAP Concur has already sold WalkMe to dozens of their customers since program launch in early November. We've already seen early success with our partnership with SAP, especially in the federal market. Last quarter WalkMe partnered with SAP Concur provides support under the recently awarded seven-year prime contract with the U.S. Department of Defense. As part of the DoD defense travel modernization effort, the government think to improve traveler performance by utilizing SAP Concur industry-leading commercial travel as a service solution capabilities for the entire DoD organization. WalkMe will facilitate DoD traveler adoption on this capability via our integrated adaptive learning platform. At full deployment, the DoD anticipate processing up to 3.8 million annual transaction using Concur Travel and Expense. WalkMe is excited about this opportunity and stands ready to provide services to SAP Concur in accordance with the DoD operational and security requirements. We believe that our solution can greatly aid the federal market and we plan to continue to invest in our go-to-market R&D and operational capabilities to capitalize in 2022. We are all underway pursuing FedRAMP status, and we will be building out the team to support this initiative. Our approach to digital transformation is in direct alignment to President Biden's management agenda and the newly developed executive order on the customer service. Our federal prospect have already communicated enthusiasm with our alignment with these initiatives. The federal market and our partners channels are two expected growth drivers for us in 2022, and we will continue to invest in these channels to support that growth. While I'm excited with all the progress we've made as an organization, I know it wouldn't be possible without all the WalkMe employees around the world. I want to thank them for all their hard work in 2021 and I'm looking forward to seeing the amazing innovation and the value we can deliver to our customers in 2022. In 2021, we continue to invest in our team and brought in world class executive leaders to bring WalkMe to the next level. From Wayne McCulloch building our customer success organization to Paul Shinn, helping to lead our legal efforts and preparing us as we went public. As we work to optimize our sales organization to take WalkMe to the next level, we've mutually parted ways with Shane Orlick, our Chief Revenue Officer. As he pursuing new opportunity, I want to take this opportunity to personally thank Shane for all the hard work and good time spending the past four and a half years. I wish you a lot of success my friend and best of luck in your next venture. In this quarter, we announce the hiring of Chelsea Pyrzenski, our Chief People Officer. She brings vast experience to drive success with our most important assets, our people. We are thrilled with the talent we have and look forward to continue to invest in our people in 2022. We believe we're well positioned to continue our momentum with great leadership across every vertical of organization. On our product side, we had a great 2021 with many major milestone accomplishments. We launched our breakthrough technology UI Intelligence [indiscernible] Microsoft Dynamic customers. UII is an automated insight engine that automatically detects inefficiency, data errors and poor user experience on CRM forms. That technology is powered by machine learning in AI in a completely automated way. Pulling these insights without any human setup or configuration, helping our customers speed to deployment and process identification. In addition, we fully integrated our enterprise search acquisition to our core product, we launched our digital transformation KPI dashboard that allows CIOs and IT leaders to track and measure their digital transformation project in order to maximize their ROI. In addition, we made a huge progress in our multi cloud strategy partnering with vendors like Azure and GCP. We're excited about 2022 as we're expanding upon the most advanced DAP platform, which we believe is well ahead of our competition, because of technology like UII, and our ability to connect data and action. This give enterprises the power to make data driven decision when it comes to their enterprise software and product. We've made a huge progress in our business in 2021. But I'm most excited about what lies ahead of us, and the opportunities we're eager to explore for the success of our customers. We believe that our vast opportunities are in a strong technology position, momentum of DAP category and our ecosystem, including partner channels and our federal practice. We believe that the progress you made in 2021, position us to accelerate our business in 2022. And we're laser focused on giving our customers the tools, visibility and action to be able to realize the goals of digital transformation. Our pipeline of new and expansion opportunity is robust. And we plan to invest capitalize on those opportunities, key focus for investment, including R&D, building our international presence, and operationalizing, and expanding our partner and federal channel. I'm thrilled with the progress we made. And I know this is just the beginning. I'm so excited to continue driving the future of digital adoption together. And with that, I'm moving it over to Andrew.
Andrew Casey: Thanks, Dan, and thanks to all of our customers and partners who've helped us to achieve success in 2021. As Dan mentioned, our results for Q4 2021 are the culmination of focus execution on our growth strategies. Over a year ago, we put in place significant changes in our sales go-to-market strategy to focus on large commercial and enterprise customers who often struggle with their digital transformation. It is these customers who have cross organizational and multi-application business processes that benefit most from the WalkMe platform. This is exemplified by the ARR growth of our DAP customers, which reached 80.3 million, an increase of 92% versus Q4 '20. We also embarked on an ambitious plan to expand our relationships with key strategic partners. With Deloitte, SAP, Salesforce, Microsoft and now Accenture, we're executing on the strategy and it's showing up in the accelerated growth of our business. Our investments are paying off and that gives us confidence that continued investments in R&D and sales and marketing will enable our business growth in 2022 and beyond. Now, let's review the numbers. Total revenue for the fourth quarter was 53.3 million, an increase of 37% year-over-year, full year revenue was 193.3 million up 30% year-over-year. Subscription revenue in the fourth quarter accelerated again growing 39% year-over-year to 48.6 million. Remaining performance obligations or RPO ended the quarter at 316 million, representing a continued acceleration of growth to 54% year-over-year. Current RPO which is contracted revenue expected to be recognized over the next 12 months grew 37% year-over-year to 178 million. Long-term RPO grew 84% year-over-year to 138 million and acceleration of growth from 79% in the third quarter of 2021. ARR at the end of Q4 was 219.6 million, representing growth of 34% year-over-year, showing acceleration from the third quarter of 2021. We saw expansion of our current customers at the highest level ever and we are increasingly being positioned as partners and driving success for our largest customers. The momentum in large enterprises continues as evidenced by our ARR growth from customers with more than 500 employees, which continues to outpace the rest of our business. One note we updated and enhanced our third-party data sources for identifying customers with more than 500 employees. And as a result, we now capture a greater number of customers in this category than we did previously. With this additional data source the amount of ARR from customers with more than 500 employees increases which is reflected in our investor presentation. In order to isolate the impact of the new data source, we will continue to disclose the ARR growth year-over-year and the percentage of total ARR as it was calculated without this new data source for the next three quarters. Without the new data source, the ARR from customers with more than 500 employees was up 40% year-over-year and was 87% of total ARR. With the new data source ARR from customers with greater than 500 employees is now greater than 92% of totally ARR. In addition, we look at DAP customer additions as a sign of the growing strategic nature of our platform across our customer base. We define DAP customers as those customers who have an enterprise department wide contract or are deployed on four or more applications. We added 14 new DAP customers in the fourth quarter to reach 126. Our focused execution was also evident in our dollar based net retention, where customers over 500 employees was 121% for the trailing four quarters and was greater than 125% for the fourth quarter. Before turning to gross margins, expenses and profitability. I would like to note that I will be discussing non-GAAP results going forward. Gross margin was 77.5% fourth quarter up 450 basis points year-over-year. In the fourth quarter, gross profit was 41.3 million, up 45% year-over-year. We continue to see improvement in gross margin due to the large portion of our revenue coming from subscription revenue, which carries a high gross margin profile. We expect our overall gross margins will increase over time as we continue to optimize our hosting operations and improve our services engagement model leveraging partners where feasible. Turning now to operating expenses. We remain focused on investing for growth to capture share and the category we created continues to expand. Sales and marketing expenses for Q4 was 37.4 million, compared to 22.4 million in Q4 last year. This represents 70% of total revenue in the fourth quarter compared to 58% in the fourth quarter of 2020. The year-over-year increase in sales and marketing expense is a direct result of the hiring freeze put in place at the onset of the global pandemic in 2020. Followed by an acceleration in hiring as the business activity return to more normalized levels in the subsequent orders. We also continued to invest aggressively in our go-to-market teams to address increasing opportunities we see in the U.S. federal market, partner expansion and broader coverages across all geographies. R&D expense in Q4 was 12.9 million compared to 8.5 million in Q4 last year. This represents 24% of total revenue versus 22% in the same period last year. We continued to make investments in our platform to drive innovation. And we'll invest in R&D as we extend our product and invest in our ecosystem in 2022. G&A expense was 9.8 million for the fourth quarter compared to 7 million in the fourth quarter last year. G&A was 18% of revenue similar to the fourth quarter last year. We are investing in the infrastructure of our business to drive long-term scale in our business. Going forward, the primary area of investment for us will be in R&D and sales and marketing as we look to capitalize on our large market opportunity. Operating loss in the quarter was 18.9 million compared to a loss of 9.5 million last year, operating margin of negative 35% compared to negative 24% in the same period last year. We held back on spending and investing meaningfully in 2020 during the pandemic as we chose to preserve cash. We will continue to hire aggressively in our go-to-market operations as appropriate to support our goals. Looking forward we expect to see ongoing improvements in operating leverages as we scale and are structuring our investments in sales and market and R&D accordingly. Net loss per share in Q4 was $0.23 using a 3.6 million weighted average shares outstanding. Free cash flow was 16.4 million in Q4 compared to negative 2.6 million in Q4 last year. Free cash flow margin was negative 13.7% down from negative 6.6% from Q4 last year. In the near term, we expect to see fluctuations in cash flow. Longer term, we expect that increasing operating leverage will result in positive free cash flow. The margins will fluctuate on a quarterly basis in the near term and improvement will not be linear. Turning to the balance sheet, we ended the quarter with 342.4 million in cash, cash equivalents and short-term deposits. Turning now to guidance. First, I want to remind you about the inherent seasonality of our business, seasonality and our revenue reflects a classic enterprise sales model with the first calendar quarter being the smallest proportion of annual revenue and the fourth calendar quarter seeing the greatest proportion of our annual revenue. Meanwhile, our expense structure typically grows more linearly, as we invest in headcount early in the year with the expectation that those investments will be productive as we approach the fourth quarter. As we move up market and focus on larger enterprises, we expect to see the seasonality be more pronounced. With that said, for the first quarter of 2022 we expect revenue in the range of 55.5 million to 56.5 million representing growth of 30% to 32% year-over-year and non-GAAP operating loss in the range of 19.4 million to 20.4 million. For the full year 2022, we expect revenue in the range of 251 million to 255 million, representing growth of 30% to 32% year-over-year, and non-GAAP operating loss in the range of 75 million to 81 million reflecting gradual improvement in operating leverage in the second half of 2022 as we see continued returns from our investments. To summarize, we had a great year of growth in 2021. And we are well positioned to accelerate our growth in 2022. With that, Dan, Rafi and I will take your questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from Scott Berg with Needham & Company.
Scott Berg: Hi, congrats on the very strong sales metrics here. I have one and a follow up. Dan, I wanted to start with the $4 million large hardware software company that he talked about, obviously, $4 million is a big contract, but you specifically called out a million dollars revenue that they were able to generate from your platform. That seems like a newer use case, to me that I don't recall, are you seeing customers actually try to deploy your platform in other maybe similar areas to actually drive revenue versus just a cost savings opportunity around support of enterprise wide applications?
Dan Adika: Thanks, Scott. I think that's exactly what we do, right? We're helping companies realize value from their technology. So in that example, that company had new sales CRM, that they saw this when their reps are actually using it. They're selling more. The problem was adoption. They saw only 40% adoption. But when they start using WalkMe, we increased that adaption to almost 90%, which effectively helps them sell more. So the idea is that companies are buying technology in order to improve their bottom line. But that technology is not being adopted, they're seeing those issues. So I would say that's exactly what WalkMe is doing. Now we're able to show massive revenue gains to our customers, therefore drive larger contract. So that's the example here.
Scott Berg:  Got it helpful. And then from a follow up, Andrew wanted to talk about the guidance a little bit for the year, revenue guidance, very solid, especially after the strong bookings quarter, but your operating losses, not quite double what consensus was modeling here previously? How should we think about those investments? Because an extra, we'll call it $35 million to $40 million of operating loss is a pretty big number. Is that mainly coming in sales and marketing? Or is there going to be some new product opportunity in there help us kind of walk through kind of what that dynamic for the year looks like? Thank you.
Andrew Casey: Sure. Thanks, Scott. Thanks for the question. I think it's a really good point, because the reflection of the investments and the returns we're seeing now in our Q4 results are really the reflection of the investments and the strategic priorities we put for the company. And so we're getting a lot of confidence that the trends, we're seeing the secular trends and demand from customers, the demand from our partners, the expansion and the whole notion of what's required for achieving return on your digital transformation investments, we're seeing these trends come to light, and it's giving us a lot of confidence that we should not be worried about short-term margin implications, we're really investing for growth, not just for 2022, but for the long term as well. So we approach every one of these strategic investments with a very focused and specific area that we wanted to have target returns, and we're seeing the results, whether you track that in our performance on ARR, or you track that on the improvements with our partners and with our partners, that is methodical, we get to a agreement on partnership, we work with them on joint account selling, and you start seeing the pipeline showing up. It's these early leading indicators that are giving us a lot of confidence that we should continue to invest. Now, having said that, but I think what you'll see is given the profile and our guidance in first half versus second half, is that the net loss we've given you in Q1 looks a lot like that from a percentage string. It looks a lot similar to what you see in Q4, but over the term of 2022, you see us getting more and more operating leverage. And by the way that's reflective of investments we've made and our gross margin lines, that's investments we've made in the efficiency of our sales and go-to-market efforts. So, when you invest and you try to create a category leading technology that drives durable growth long-term. You can't have short-term myopic investment thoughts, you've got to think in long-term investments, and we're making those and they're starting to pay off. So that's the way I'd really characterize this, think about in terms of, we've made some really key strategic investments. We're excited about the returns we're getting, and that motivates us to continue the progress.
Scott Berg: Very helpful. Congrats on the strong bookings quarter. Thank you.
Operator: Thank you. And now, we will take our next question from Michael Turits with KeyBanc.
Michael Vidovic: Hi, this is Michael Vidovic for Michael Turits. How the share of customers deploying WalkMe for internal versus external facing applications has been trending over the last few quarters and do you see any change here? Thanks.
Andrew Casey: I can take that Dan. So really no material change in percentage breakdowns. I think what you see, some of the larger deals that we're talking about are typically the WalkMe for internal use cases that Dan was mentioning, one, I can tell you a few others and really large customers that start in that standpoint. In fact, a number of DAP customers, we landed for the quarter, were brand new customers. So really large deals, and there are big deployments. But so there wasn't any substantial change in the WalkMe for employees versus WalkMe customers break down. But I will say that, where we see the biggest business process automation benefits, and where we see the biggest -- where customers seeing the biggest returns on the investment with WalkMe is in that WalkMe for employees base.
Michael Vidovic: Got it. Very helpful. And just I have got one follow up. Were you seeing an impact of large deal closings for this quarter? I think you've talked about that previously.
Andrew Casey: So we ended the Q4 with a really strong pipeline position. And I think when we had indicated in our guidance back in the Q3 earnings process, we really tried to focus investors on, this is our biggest quarter of any calendar period, and that we had a good pipeline to go execute. Now, when you look at the numbers, we obviously did that. And I would tell you that our posture is quite similar with respect to as we enter 2022. The opportunities for us are expanding, our pipelines looks strong. And the investments we're making right now, in some cases are actually starting to show up early. I mean, the DoD deal that Dan mentioned in his script was a really good indication, it was both a partnership -- result of the partnership with our SAP agreement, as well as, an early indicator of federal demand associated with our solution. So it's those types of things -- those bits of evidence that really give us the confidence that the things we're doing are that are really correct, and that they're driving the growth in our business.
Operator: Thank you. We'll take our next question from Michael Turrin with Wells Fargo.
Michael Turrin: Hey, there. Thanks. Good afternoon. Appreciate you taking the questions. You mentioned the federal opportunity multiple times in the prepared remarks. Is there anything you can add around initial observations around that segment? What's driving the increased focus there? And is that one of the incremental areas that's driving some of the near-term investments, you were just talking about Andrew as well?
Rafi Sweary: So I will take it, Dan. So obviously, WalkMe digital adoption platform is suitable for any large organization or organization that does digital transformation. Government has the exact same problems and issues. And they're actually expanding and accelerating their digital transformation across all agencies. Obviously, in order to get into the government, we need to be FedRAMP certified, we need partners. So getting in with DoD through the SAP partnership. This is huge for us. And this is just the beginning. That was a seven-year contract just on SAP Concur, adjust traveler management, thinking about how many more opportunities just in the DoD alone. So this is why we're very excited and we're highlighting it.
Michael Turrin: That's helpful. Subscription revenue accelerated RPO up more than 50% ARR number picks up. The one metric that looks a touch out of step is just billings and the trends in deferred revenue. So can you just remind us if there's anything specific to call out in terms of billings impacts or what the best leading indicators of the business are, from your perspective? I think that's helpful here as well. Thank you.
Andrew Casey: Yes. I'd say in some cases, when you have really large deals and when they come together, sometimes the related billing processes is something that we would necessarily point to as a key indicator. It's not even when we track and measure and give any guidance around Michael. So I would really use our ARR avenues. The RPO figures that we put out there. I wouldn't draw any big conclusions from the calculated Billings.
Operator: Thank you. We'll take our next question from Raimo Lenschow with Barclays.
Vinod Srinivasaraghavan: This is Vinod Srinivasaraghavan on Raimo. Thanks for taking my question. I have two, first, can you just talk about the retention rate? I see it picked up to 125 on a quarterly basis. Can you talk about some of the drivers behind that? And are you seeing some early impacts on partners in this number?
Rafi Sweary: Sure. So obviously, we're seeing greater expansion with our customers that's driving that number is up. And customers who are starting with WalkMe with one or two applications, actually expanding to a multi-million dollar deal. So obviously, that's drive the retention up. And as you saw the RPO is great. So they're actually investing three years deals. So overall, that momentum is making the retention goal up. And we believe that even it go further as we're having more and more and more strategic deals like that. Go ahead. Sorry, Andrew?
Andrew Casey: No, I was just going to say, I would add that. With DAP customer metrics to be disclosed. That's reflective of those really big, large expanses. In some cases, we actually land large deals, we saw five new customers this last quarter that landed us with as DAP customer. Often what customers do is they start off with a smaller implementation, and then they expand quite rapidly. So that's why that DAP customer number is so important for us to point to and disclose. 
Rafi Sweary: And on the partner side and we announced last quarter, SAP and Deloitte, this quarter, Accenture. It’s just getting started. We are seeing great indicators, both in building type and getting and starting to get deals. But we were very excited on the potential for 2022. So we feel not huge. And so the main driver for increasing the retention is those long-term deals and DAP deals that actually the customers are signing with.
Vinod Srinivasaraghavan: Got it. That's helpful. And then, just my second question, can you give us an update on WalkMe beyond, I see on your website, there are new some new enhancements coming to the platform such as the solution to marketplace and apps and more marketplace? How can that kind of extend what you already do with partners and the integrations you already have in place? Thank you.
Dan Adika: Sure. So one, we're getting a lot of pre-built solution. So for example, with the SAP Concur, there is a lot of pre built content. So customers can be up and running much, much faster. In addition, we open it completely. So we have even smaller partners creating content and distributing content. At the end of the day, it's speed, right, it's time to value, how fast our customers can see value. And when we're sharing that knowledge when we're bringing partners in that can already build solutions that we know that showing great ROI. This is exactly where our system shines. So we added those capabilities, we opened a [GI] [ph], so now everybody can actually plug in and start getting benefits from WalkMe. On top of it will launch many products that all of them connected to that. So not just content, but data and KPI projects, and a lot of things that at the end of the day, when the CIO comes and they want to actually start to measure and see impact on their business, in five clicks, they can get it with WalkMe. So that's what we're doing with beyond and obviously as we are telling more and more partners like Accenture, like Deloitte, we're going to see it even growing faster. And with much, much more content in it.
Rafi Sweary: We see significant amount of our customers starting to use it. So really good adoption from our customers from our top customers using beyond components.
Vinod Srinivasaraghavan: I think that's great to hear. Appreciate it.
Operator: Thank you. We'll now take our next question from Josh Baer with Morgan Stanley.
Josh Baer: I was hoping you could give us an update on sales productivity and how that's trended. And perhaps a look at how many sales reps you're up to now and in your '22 investments. How many do you expect to add?
Dan Adika: I will start and Andrew you can chime in with the exact numbers but we finished Q4, very, very strong with attainments in all segments. So overall, we're very pleased and large deals, very happy reps at the end of the year. So we're pleased with that. As we're getting into 2022, we want to see more reps getting fully ramped and drive that efficiency up. So we're looking forward regarding even numbers of reps, and then investments, Andrew over to you.
Andrew Casey: Yes. What I'd say is, the investments that we're making in the sales and go-to-market inside are not always profiled in the number of reps that we do, we are increasing the number of reps as we move into 2022, especially in areas where we had very light coverage or little coverage in the past, federal is a great example of that. But the really important areas where we're making investments that Dan alluded to is surrounding the reps in our go-to-market efforts and really driving the technical competence in the field where we're able to show and demonstrate when customers use the WalkMe platform. And then they really break down their core processes that they're trying to understand that we can demonstrate to them the value they're going to receive if they continue to follow the patterns and the guidance that we're giving them. So it's not always about just the reps, a lot of times it's about surrounding the reps to with the right resources to drive those efficiencies and those improvements. And I would tell you that we're pretty, very happy with the progress of the reps that we hired throughout 2021. And the leverage and the returns are starting to show. So that once again, is that early indicator that we're doing the right things, we're focused on the right markets, we're pulling the right levers in our strategy that are resulting in the returns in our ARR.
Josh Baer: Okay, great. That's helpful. And then I was hoping you could just kind of review and talk a little bit about your partnership with Microsoft. Thank you.
Dan Adika: Sure. So with Microsoft, we have a close partnership, basically, and every Microsoft Dynamics customer can install WalkMe on top of their Microsoft Dynamics with the Microsoft App Store. And last quarter, we launched something we called the UII, as I mentioned in the script, UI Intelligence and that is Automated Insights mechanism. So through that partnership, obviously, all their customers can enjoy it. And every Microsoft, obviously, rep can sell that solution, or we can actually market through their website. So that's how we partner with them.
Operator: Thank you. [Operator Instructions] We'll take our next question from Keith Bachman with BMO.
Keith Bachman: Andrew, I wanted to direct this to you. And I want to focus on the operating margin guidance for CY '22. If you look at the numbers, you're basically versus Street estimates, raising revenues by 45 million, but you're raising the operating loss by 35 million to 40 million. So it's pretty tough to comprehend. And that's versus street models that existed heading into this. And so there's a couple questions underneath that. Normally, when you see situations like this, when a company essentially guides a little bit on revenue more than expenses, one of the first questions investors are going to ask is it a more competitive landscape? Or what's happening in the sales process? So kind of competition context would be number one. Number two is could you give us some sense on the exit rate for Q4 margins? In other words, you mentioned that was a front end loaded investment cycle, which I think is investors can understand, but is it by Q4? Are you getting back to something below a 10% type of loss, if you could give us any context for what the Q4 exit run rate is to help pacify investors on this pretty dramatic change on operating loss? And then, finally, you did say something about CY '23, in your previous comments, and I have to ask is, should investors be expecting this type of loss, these negative significant negative margins in CY '23? Or did things get better? Any kind of context you could provide to help clarify what your previous point was on CY '23? Thank you.
Andrew Casey: Sure. And thanks for the question. Keith. I certainly want to be clear about it. The investments we're making, I want to be careful that people understand when we're making investments, we're doing it for long term durable growth. And that the investments we're making a lot of times don't always show up in the same period in which they're deployed. And a great example of that is we've been making investments in our platform and in our sales and go-to-market team for the federal space. But those really aren't going to show up in returns until the second half of 2022. In similar aspects, we're making investments in our go-to-market and in our platform to really drive what we see is accelerating growth into a multi-year framework. And it's not just one that would be existing only in 2022. So that's the way we think about it. But that's not growth without leverage. So as I mentioned, each quarter as we go through 2022, we're expecting to improve upon that that operating loss position, meaning that by the time we reached Q4, we're expecting to call it nearly half of what we've got for the last quarter of Q4. So that percentage will increasingly go down into 2023, we expect to continue to drive towards that long-term operating margin return of 20%, 25%. So I understand the point, I understand the thought process, that we are thinking in multi-year framework, and when that making investments will continue to accelerate our growth throughout 2022. And beyond as we move into 2023, and 2024. And as we get closer and closer to the main timeframe, we're going to be showcasing more of that in Analyst Day, and we'll break out some of those long-term thought processes or how we're going to drive towards our business, increasingly towards that $1 billion mark. But you don't do it without making investments for the long-term. And that's really what we're trying to highlight. On the competitive front, Dan lean in a little bit but I wouldn't tell you that the investments we're making it are a negative response to competition, it's quite the opposite. It's because we're getting very excited about the response that customers have had to our platform and our capabilities. Because we're just really at the starting point for some of these really great engagements we've shown where we're reorganizing and rearchitecting some of the basic business processes, your quote to cash or procure to pay, every CFO has looks at their core processes, breaks those down and ask the question, how can we be more efficient? How can we drive a better return? And that's the type of discussions we're having now. And when they're using the WalkMe platform to go drive that they're getting real results. And that gives us confidence that we should continue.
Keith Bachman: Okay. And just for clarification is just you mentioned that the Q4 loss would be half of and I wasn't sure what you meant was it half of where you see Q1 landing, or half of where you see Q4, this year that it landed, I wasn't sure what the context was on the half.
Andrew Casey: So if you think about in terms of our operating loss as a percentage in Q4. The guidance that we've put out, it looks very similar to it from an operating percentage perspective. And I would tell you that as we move closer and closer to Q4 '22, we're expecting that that will be 50% of that level. So showing up increasing leverage throughout the year. And by the way, our plans, the way we think about our plans internally is we grow with leverage. And that's how we'll continue to think about it from a multi-year perspective as well.
Keith Bachman: Okay, thank you for that clarification.
Andrew Casey: Dan, you want to add anything on the competitive standpoint?
Dan Adika: Sure. And I would just add to what Andrew said, some of the investment are one-time investment, obviously, on the Fed, if you thinking about the go-to-market, that one expense, but to be FedRAMP is another expense, right? We need to go to the fed to the gov cloud, and so on. So a lot of one-time investments in order to create a new revenue stream for us. So that would be most of the investments, right? FedRAMP, partners, new regions that we're expanding into. Regarding the competition, the landscape stays more or less the same as before and the quarter before and we are leading the market by far. We are seeing competitors but nothing that worries us or creating the result of us investing more money.
Keith Bachman: Okay, okay, many thanks.
Dan Adika: We have a very significant competitive mode. We really ahead of everyone.
Operator: Thank you. That does conclude today's question-and-answer session. I'd like to turn the conference back over to management for any additional or closing remarks.
Dan Adika: Thanks everyone for joining us obviously excited for the results of Q4 and the accelerated growth in 2022. As Andrew mentioned, we are putting a lot of research and investment for long-term growth. So excited to share more information in Analyst Day and looking forward to share the next quarter results with you.
Operator: Thank you. That does conclude today's conference. We thank you all for your participation and you may now disconnect.